Operator: Ladies and gentlemen, welcome to the Q3 2023 results conference call. I am Shari, the Chorus Call operator. [Operator Instructions] The conference is being recorded. The presentation will be followed by a Q&A session. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Sonya Ghobrial, Head of Investor Relations. Please go ahead, madam.
Sonya Ghobrial: Thank you. Good morning, everyone, and welcome to Haleon's conference for the third quarter trading statement. I'm Sonya Ghobrial, Head of Investor Relations, and I'm joined this morning by Tobias Hestler, our Chief Financial Officer. Just to remind listers on the call that within the discussions today, the company may make certain forward-looking statements, including those that refer to our estimates, plans and expectations. Please refer to this morning's announcement and the company's UK and SEC filings for more details, including factors which could lead to actual results to differ materially from those expressed in or implied by any such forward-looking statements. Today, we plan to run through some slides before opening the call for Q&A. [Operator Instructions] As you know, whilst the focus today is on revenue performance, we've also provided group profit and margin details on both the reported and an adjusted basis with the full reconciliations, including full organic revenue growth, in our appendix. For information, we do not intend to provide quarterly profit data on an ongoing basis and we'll only do this for as long as Pfizer reports our results as part of its financial statements and until our registration rights agreement with Pfizer and JFK terminates. With that, I'd like to hand the call over to Tobias.
Tobias Hestler: Thanks, Sonya, and good morning, everyone. Let me first start with our third quarter highlights. As you have seen from our release this morning, we had a good third quarter with 5% organic revenue growth, split 6.6% price and a 1.6% decline in volume/mix. This performance was underpinned by continued share gains across our business. Across the quarter, growth was driven by a number of categories, including continued strength in both Oral Health and Pain Relief, and it's encouraging to see VMS being back to growth. Respiratory also had a good quarter, with normal seasonal cold and flu sell-in. Digestive Health saw good consumption growth, but our results were negatively impacted by one-off inventory movements from some U.S. retailers. The latter was the primary driver with the volume/mix decline in Q3. Equally important, we saw continued good operating leverage, with inflationary cost pressures more than offset by price inefficiencies across the business, resulting in operating margin expansion of 90 basis points. On the back of today's strong numbers, I'm pleased to reiterate that we remain firmly on track to meet our full year guidance to grow organic revenues by 7% to 8% and operating profit 9% to 11% in constant currency, resulting in margin expansion. Finally, it's worth highlighting that we closed the sale of Lamisil in the last couple of days, earlier than we expected. You will recall that we announced the sale of the brand with our half year results. This demonstrates our commitment to optimize the portfolio to active brand management. Now turning to our third quarter results. Revenue of GBP 2.8 billion reflected 5% organic revenue growth. Adjusted operating profit was up 8.8% in constant currency, resulting in a 24.6% margin, up 90 basis points constant currency. As expected, the adverse impact of FX was most pronounced in the third quarter due to year-on-year strength in sterling against the U.S. dollar and the movement in a number of emerging market currencies, which negatively impacted margin and actual rates. Looking at the drivers of revenue growth in more detail. We delivered 5% organic sales growth comprising 6.6% price and a 1.6% decline in volume/mix. Pricing in the quarter included some incremental price as well as the carryover of pricing taken over the last 12 months. As I have said previously, we will continue to take price as needed, and we remain confident in our ability to do so given the strength of our innovation and brands and market positions, albeit moving forward, this will be at a lower level than seen so far this year. In Q3, we also had a 1 point benefit from high-inflation economies, TÃ¼rkiye and Argentina. We saw continued volume/mix growth in APAC in our Oral Health business, although overall, this was offset by 2 factors: one, the anticipated decline in Emergen-C, where the category has reverted towards pre-pandemic level, which has now stabilized; and two, one-off retailer inventory stock adjustments in Digestive Health in North America. Here, we had an inventory build last year following a temporary supply shortage, which we have now lapsed, and we saw some U.S. retailers reduce their inventory this year. Importantly, consumption in Digested Health continues to see good growth. Including both these impacts, volume/mix would have been flat across the group, and I would expect improved volume/mix in the fourth quarter compared with what we have reported for Q3 today. Turning now to our performance across the categories. Looking at the quarter, I was particularly pleased that Oral Health revenues grew 9% with healthy growth in price and volume mix. Sensodyne was up double digit, underpinned by consumer share gains benefiting from innovation and strong growth across a number of markets, including India, Japan, as well as good performance in the U.S. VMS is back in growth with continued strong performance of Centrum, which more than offset the expected decline in Emergen-C. The double-digit revenue growth of Centrum was driven by positive price and volume/mix, helped by geographical expansion and activation in a number of markets. Pain Relief also delivered good revenue growth, up 6%, with Panadol driven by strength in the Middle East and Africa, and Voltaren growth underpinned by performance in Europe from new innovations. Advil declined mid-single digits, largely due to more competitive market conditions. Respiratory revenue was up 4% with strong growth in Theraflu and Robitussin from selling ahead of the cold and flu season, which more than offset both the lower out-of-season use of cold and flu products and a decline in Flonase following a weak allergy season. Altogether, this demonstrates the strength and the diversity of our portfolio, delivering 5% organic growth for the group. Let me now move to look at geographic segment performance. Looking across the regions, we saw slightly differing trends from one region to another, with strong growth across EMEA and Latin America and Asia Pacific and a slight decline in North America. Our emerging markets saw 11% growth, which included the benefit from pricing taken in high-inflation economies. Emerging markets made up 1/3 of our revenues and included double-digit growth in India and broad-based growth in other emerging markets. Developed markets grew 2%. Looking at each region in more detail, starting with North America. Organic revenue declined 1.5%, with a 2.6% price increase and a 4.1% decline in volume/mix. As I mentioned earlier, the decline in volume/mix largely reflected 2 factors: first, a one-off reduction in Digestive Health brand inventories from retailer stocking movements; and second, the expected decline in Emergen-C. Excluding those 2 impacts, volume/mix would have been slightly positive. Across the categories, we saw mid-single-digit growth in Oral Health led by Sensodyne, underpinned by consumption and new innovations, including Pronamel Active Shield. VMS increased low single digits, with strong performance of Centrum that more than offset the decline in Emergen-C, where demand has now stabilized. Centrum benefited from the activation of cognitive function claims on Centrum Silver and the launch of our prenatal blends. Pain Relief declined mid-single digits, driven by Advil. Respiratory Health was down low single digits, with growth in cold and flu offset by a decline in allergy products due to weak season, resulting in inventories being run down to normalized levels. Finally, Digestive Health and Others fell mid-single digit, largely due to a double-digit fall in Digestive Health revenue, as I've already explained. Turning to Europe, Middle East, Africa and Latin America. Organic revenue increased 10.8%, split 12.7% price and a 1.9% decline in volume/mix. As you will recall, this region is the most exposed to higher inflation economies, TÃ¼rkiye and Argentina, which had a 3% impact on organic growth. The decline in volume/mix was driven by Latin America, where volumes declined double digit from weakness in Colombia and Mexico, which was more than offset by strong pricing. Looking across the segment, we had strong growth in Middle East and Africa, helped by Panadol. In Europe, revenue was up mid-single digits with broad-based growth, including strong results in Germany. Across the categories, Oral Health saw double-digit growth, largely driven by Sensodyne and Denture Care. We're seeing good consumer uptake for a number of brand innovations, including parodontax Active Gum Repair. In VMS, the region saw a low single-digit decline driven by some Local Brands. [indiscernible] was up strongly, helped by continued activation and strong execution in markets across the region. Pain Relief revenue was up double digit, reflecting strong growth in Panadol and a number of successful campaigns featuring our specialist ranges and growth in Voltaren. Respiratory sales increased in the mid-single-digit range, driven by price and the sell-in of cold and flu products ahead of the season. We continue to drive innovation in this category and recently launched Otrivin Nasal Mist, which delivers an improved consumer experience through both comfort, ergonomics and efficacy. Digestive Health and Others saw sales up double digits with good growth across most of our brands. Finally, turning to Asia Pacific. Organic revenue increased 5.9%, with 2.9% from price and 3% from volume/mix. China, our second-largest market overall, was up mid-single digits after a very strong first half following the easing of COVID-related lockdown restrictions, moving China up mid-teens for the 9 months. Elsewhere, India grew double digits, and Australia and New Zealand was up low single digit. Within the categories, Oral Health saw high single-digit growth, underpinned by strong growth in Sensodyne, particularly in India, Japan and China. In VMS, we saw low single-digit growth helped by successful consumer campaigns for Centrum, partly offset by declining Caltrate. In  Pain Relief, Voltaren saw strong growth, particularly in China and Australia. As expected, Pain Relief revenues declined after extraordinary strong growth in China during the first half, and we have ensured inventories have returned to a more normalized level. Respiratory revenues were up double digit, driven by strong growth in Theraflu. Turning now to adjusted operating performance. Adjusted operating profit was up 9% constant currency, driven by positive operating leverage. Looking at the bridge in more detail. Stand-alone costs were GBP 10 million lower than last year as we run down our TSAs with GSK. I'm pleased to report strong execution with pricing and efficiencies offsetting inflationary cost pressures and negative volume, resulting in positive operating leverage. Importantly, [ we ensured ] continued investments in consumer-facing A&P, which grew ahead of organic growth. Finally, as expected, there was a GBP 100 million or 140 basis point headwind from material movements in foreign exchange on a translational basis, which particularly impacted the quarter. All put together, this resulted in a 5% decline in adjusted operating profit at actual exchange rate and a 24.6% margin. As a reminder, Q3 is typically our higher-margin quarter in the year given advanced sales of cold and flu products ahead of the season. This takes our year-to-date adjusted operating profit constant currency growth to 9% and a margin of 23%, up 10 basis points constant currency. As I mentioned earlier, we're pleased to reiterate our confidence in our full year outlook. We continue to expect to achieve organic sales growth of between 7% and 8%. We see another year of positive operating leverage and expect the adjusted operating profit to grow between 9% and 11% constant currency. This will therefore result in adjusted operating margin expansion on a constant currency basis. So to sum it up. Haleon has delivered a strong third quarter performance, demonstrating the strength and diversity of our portfolio and execution across our markets. We delivered 9% adjusted operating profit growth at constant currency and strong positive operating leverage across the business. As such, we have reiterated our full year guidance. Given the momentum across the business in what remains a challenging market environment, we remain confident of delivering on our medium-term guidance, as we stated in this morning's results release. With that, I would like to hand back to the operator to open up for questions.
Operator: [Operator Instructions] The first question comes from the line of Rashad Kawan, Morgan Stanley.
Rashad Kawan: A couple from me, please. The first one on the negative volume/mix in EMEA and LatAm. You talked about the decline, largely a function of weakness in Mexico and Colombia. Can you get into that a bit more what's driving that? Is it increased elasticity as a result of price increases, more competitive dynamics from peers? Any color there would be helpful. And then the second point, you're calling out the one-off retailer inventory adjustment in Digestive Health in North America, which means, obviously, it's material enough. Can you quantify that? And is that something that you'd expect to reverse into Q4?
Tobias Hestler: Sure. Thanks, Richard. So first on LatAm. So I think not concerned about the overall price volume or pricing dynamics. I mean, overall, I mean, you've seen LatAm had sort of a strong quarter, up double digit in revenue. When you look at Colombia, they still had a COVID wave in Q3, so they're cycling over that. I think in Mexico, it has more to do with the shipment of cold and flu that are a little bit different between the quarters this year. So nothing particularly concerning to call out. I believe the team in LatAm has done a really good job and keep pushing up pricing in a very dynamic environment, but also maintaining overall the ability to hold volumes. On North America, so I think yes, 2 things. So I think the year-over-year -- so first of all, I mean the decline in Digestive Health, that's the biggest driver of why volumes were down, both for the North American market but also for the group overall. So that's the primary driver. What made Q3 a bit bigger is because, last year, we had built inventory because we had an out-of-stock situation, that we repiped inventory and build, there was an inventory build last year. This year, there was an inventory burn because some retailers decided to hold a little bit less inventory at the beginning of the quarter. Most importantly, consumption is still strong. So we have -- when you look at both the half year and also in the Q3 numbers, consumption on these products is still up, which is the most important thing. And I don't expect that to reverse. Look, I mean, it's hard to predict what retailers are doing. But this will not repeat or come back in Q4 from our perspective.
Operator: The next question comes from the line of Guillaume Delmas, UBS.
Guillaume Gerard Delmas: Two questions from me as well, please. The first one is on VMS. I mean, Tobias, can you shed a bit more light on the various brand developments in Q3? Because it seems that Centrum, your largest brand there, accelerated very nicely from low single digit in Q2 to double digit in Q3, but then Emergen-C remained a drag, Caltrate was unusually weak and the Local Brands in EMEA, LatAm had another soft quarter. So first, in terms of category growth, are you seeing an improvement in VMS? And then is it fair to assume that now that Emergen-C is fully normalized and that I would assume Caltrate should be back to growth in Q4, that VMS could very soon be back to its medium-term growth range ambition of mid- to high single digits? And then my second question is on your multiyear organic sales growth guidance of 4% to 6%. Appreciate it's early days, but can you already confirm that your ambition is to achieve 4% to 6% next year, so in 2024, despite the uncertainty around the Respiratory division and the tough comps in China?
Tobias Hestler: Thanks, Guillaume. So let me start with VMS, right? So I mean, you pointed out Centrum, so feel really strong about this brand. I mean geographic expansion activation, activating on the clinical trials and the claims that we're rolling out globally. So I think the brand is really strong. And overall, it was pleasing to see that VMS is back to growth. And then you mentioned there were a few of the Local Brands, for example, [ Prevacid ] in Italy, which is more of a seasonal brand. So very mild summer in Italy, so there's a bit of ups and downs on those. So we're not broadly concerned about these brands. Also, we have a VMS brand in Russia that we stopped distributing, so wouldn't be too concerned about those. And then Caltrate was also more of a onetime thing. There was distributor change in China. And then last year, Southeast Asia was very strong. So again, I think not concerned about Caltrate also, particularly also not for China, where the biggest market is. On Emergen-C, what is good to see over the last few months, that consumption has stabilized. So -- and it stabilized pretty much at the 2019 levels in units, and then you have on top of that the innovation and the pricing we did. So it's been stabilized, and it's now following the pattern where it was pre-COVID. Of course, it's going to take us probably 2 more quarters to land there, but -- so it's going to -- until we fully cycle over it. But I think it's good to see that it's found the place at 19 and now going into the season, it's coming and starting to grow again. But -- so I think that will be behind us, I would say, in the not too distant future. And more broadly on VMS, I think we remain confident in the category. And I think it's back to growth now. So we have 2 strong years of growth in VMS. And I think now it's coming back with Emergen-C a bit down, but Centrum more than making up for that. Then on your multiyear question, yes, I think look, we'll guide -- we'll guide for full year with our full year results. But maybe, I mean, for us, the 4% to 6% guidance is an annual guidance, right? This is our ambition that we grow 4% to 6% every year and not just over a several-year period. That's the first thing. The other piece is, you take a step back, at half year, we guided for 7% to 8% for the full year, that's 4% to 6% in the second half. And we're right in the middle on that growth guidance with what we delivered in Q3, and we're very confident in our guidance and being in this guidance range for the year as well given the strength of the portfolio and of the business that we have, the continued ability to take price as well.
Operator: Next question comes from the line of Celine Pannuti, JPMorgan.
Celine Pannuti: My first question is a follow-up on what you just said. In terms of the pricing, you said the ability to tell the price. But I think early on in your commentary, you were talking about, going forward, a lower level of pricing that we have achieved this year. Can you talk about what kind of underlying pricing that we should be looking at? And then maybe is there any commentary you can make on costs that you are facing this year and how [ 2014 ] cost bill is shaping up -- 2024, excuse me, cost is shaping up? My second question is on volume. So you are guiding for volume to improve in Q4. If I take out the benefit -- or sorry, the impact, sorry, of the one-off issue in Digestive in the U.S., I get to minus 0.6% volume at the group level. Is that the ballpark of what you are -- we should be aiming for in Q4? And then in '24, maybe coming back on the previous question on that volume point, like we are seeing this unwind of volume that you benefited from in 2022. So here as well, I mean, do you expect that unwind to be an issue in the first half of the year?
Tobias Hestler: Good. Thanks, Celine. So on pricing, so when you look at what we did in Q2, we had the peak in pricing. It was 7.9%. It came down to 6.6% in Q3, as I had said at half year, right? And I would expect that trend to continue. So now it doesn't mean we're not taking any pricing, right? So the team continues to take pricing. Of course, clearly in the emerging markets, where there's high inflation environment. But we also, for example, we took more price in the U.S. in September, mid-single digits to low double digit on about 1/4 of the portfolio. So I think we feel good about our ability to take price. Also, we have seen limited price elasticity today. So from that point, as we did a reassurance of our ability to take and doing that forward. Now of course, we're mindful on the consumer backdrop. But I think when you look and think what the team has done, I think we've found probably the good spot between pricing and volume. But of course, we're going to be responsible in the pricing we're taking overall in this environment. On the cost inflation, I think we're down into the mid-single digits. So that is clear. There are a few of the commodities start coming down. But then I think there's others that still stay stubbornly high, like sugar, anything that's sugar related. But also, of course, the thing for this, I think the bigger topic right now is labor cost and how labor costs evolve. And -- but again, I think what we have said before with pricing, I think we should have the ability to offset inflationary headwinds with the price that is coming through. And then on your volume question. So I think for us, I think, as I said, it's going to be better than Q3 was. When you look at Q4, so the puts and takes, last year there was a recall that helps. We don't expect to have a recall this year. And then, of course, the other direction is last year, Fenbid in China and Contac, took off after the change in COVID strategy in China, and you had -- then we had this very early peak on the cold and flu season in the U.S. So as I had guided at half year, we would still expect volumes to be down on cold and flu in the second half of the year, or particularly in Q4 as well, given that dynamic, right? But if you can take a step back from it, in aggregate for the business, very confident about the 4% to 6% guidance we had given for half 2, and that then puts us very well into the 7% to 8% range. And then going into next year, I think it's exactly the same comment, right? I mean you've seen. We did 5% growth in Q3, with ups and downs, with puts and takes on [ the data ]. So I think the beauty in this business, in my view, is the diversity of this portfolio from a brand perspective. And you saw, I mean, high single digit, nearly double-digit growth on our power brands that carry that forward. The categories, sort of strength across 4 categories that carry the growth. And then also the geographic mix with a good 1/3 of the business being in emerging markets versus developed markets. I think that gives us the ability and I think the strong confidence that we can grow and continue to grow in this 4% to 6% range going forward.
Operator: The next question comes from the line of Karel Zoete, Kepler Cheuvreux.
Karel Zoete: I have 2 questions. First one is especially a follow-up on China. You already provided some insights, highlighting the difficult comparison base for the pain franchise. How should we look at the coming quarters ahead? Is that going to be something where you would anticipate, therefore, a decline? Or are there also offsets in China? And the other thing is on the U.S. pain franchise. You mentioned Advil was down mid-single digits. And regarding Voltaren, you particularly mentioned the progress in the European markets. How is the brand doing in the United States?
Tobias Hestler: Sorry, I didn't get your last one. I got China, the pain portfolio and Advil U.S. But then you said is Voltaren up...
Karel Zoete: Yes, Voltaren. Yes, you highlighted that Voltaren is doing well in Europe, and it's good, probably improvement in Germany, too. But how is Voltaren doing in the U.S.?
Tobias Hestler: Okay. Good. Thank you. I got it. So then let me start with China. So I think if I first explain a little bit what happened on Fenbid. Yes? So I think on Fenbid -- or in China, there was a second COVID wave in May. That was over May, June. Then the government in China expected another third wave. So they told retailers and pharmacies to keep stocking products. That didn't happen. So what -- and so luckily for our colleagues in China. So ultimately, what then we decided during the third quarter is to ramp inventory down to a normalized level given there was not another wave. Now last year, of course, you had the big pickup in Q4 and Q1. So we would expect a drag from that on the Pain Relief portfolio. But when you look at the rest of the portfolio in China, I think very strong brands. We see continued growth in the Oral Care business, in the Caltrate business and in the respiratory portfolio. So I think, yes, there's got to be a bit of a drag on the Pain Relief and on the China business as we cycle that over. But overall, feel good about our ability to grow the Chinese business. On Advil in the U.S., very competitive situation. Of course, Advil, key competitor is Tylenol. They have done very well. So I think we've got a bit of work to do. Now nothing surprising in the big portfolio like we have, right? And the Pain Relief overall, grew 6%. All the brands did well in that, even with the small drag or the drag they had from Fenbid in it. And then Advil was down, so key focus for us to put attention to that. We just took a price increase on it, which will support. But yes, I think it's one of those where we go head-to-head with a very strong competitor, yes? And then I think on Voltaren, I mean, overall, I think this year, I think we've seen good growth on the brand in aggregate. So I think also it's doing well in the U.S. We've done particularly well in Europe now. I think coming off higher use of systemic pain relief products that helps Voltaren. Because in times when people use a lot of tablets, they tend to reduce the use of topical pain relief medicines. Yes?
Operator: [Operator Instructions] The next question comes from the line of Chris Pitcher from Redburn.
Chris Pitcher: I've got a couple of follow-ups and a question. Tobias, are you able to say what China growth would have been ex the destocking impact of Fenbid and Contac? I appreciate it's going to be an issue in the next couple of quarters, just to get the underlying growth there. And then on the question about volume growth into Q4, can you give us a bit of color about the mix effect you would expect within that, particularly with lower -- potentially lower respiratory sales? And then an underlying question. India, you highlight the strength of Oral Health. But can you say how Digestive Health performed and how the rollout of Centrum is doing?
Tobias Hestler: Yes. Look, I think for me -- I mean, look, China overall has grown, right? So I really don't want to go into the ups and downs, right? I think -- I mean, ultimately, I think the China performance overall is strong. The Fenbid was bought a small drag there on both the Pain Relief category globally. And that was -- I think, I mean, ultimately, what the team has been doing, I think they've offset these impacts very well so far. And the good news is we have a broad portfolio in China that carries us through. I think on Q4, I mean, yes, I think as you mentioned, right, I mean, we would -- part of our guidance, we would expect volumes to be down in Respiratory. Now look, this is an assumption, so we need to see what the season does, but I think that is clear. There's going to be another drag clearly on Fenbid intended because that's when the consumption started. And then when you look at Digestive Health and Others, there should be a small help because last year we had a recall on Tums. I think that's probably the biggest puts and takes in the portfolio. And then, of course, you have to remove Lamisil from the model as well. I know it's small, but I think given we closed that a bit earlier that than we expected. And then I think the rest of the portfolio, I think we'd expect continued strong momentum and performance. Yes. And then you asked about India. Yes. Sonya, yes?
Sonya Ghobrial: So I think on India, what I would say in Digestive Health is it was pretty strong, so it was double digits. So I mean that's obviously doing particularly well in the market in the quarter. So...
Chris Pitcher: And the rollout of Centrum is still going to plan?
Sonya Ghobrial: Yes, it is.
Tobias Hestler: Yes.
Operator: The next question comes from the line of Tom Sykes, Deutsche Bank.
Tom Sykes: Firstly, just on the gross cost savings, the GBP 300 million. I wondered if you could maybe just give us an update on when those should hit the P&L? And perhaps how much of the GBP 150 million, just to be clear, you would expect to spend in full year '23? And just on stand-alone costs, I mean, will there be any difference in seasonality in full year '24 versus '23, like there has been obviously in '23 versus '22? And if I can, just a quick one. Is there any part of your VMS business that has seen the GLP-1 impact at all? And do you expect an impact of at all people taking vitamins, supplements at all if they start embarking on taking those medicines?
Tobias Hestler: Thanks, Tom. So look, on the cost savings, we said the impacts are going to be in '24 and '25. We are making good progress. So we made announcement. So we are -- and given the announcements largely impact populations in Europe, we're in the middle of the grand consultation base, so it always takes a bit of time then for the savings to realize. Because as per labor law that we have in those countries, you have to get [indiscernible] before people are -- before people can exit the company. So from our perspective, we've made good progress on that. But we would expect the savings to hit in '24 and '25. On the stand-alone cost, I think that is now stable. I mean we're just ramping down now the TSA. They weren't a big amount. But year-over-year, you get the small benefit. And I think that's going to be completed quite soon. So from that point of view, this is history. And I would hope that from next quarter on, I don't need to talk about stand-alone costs anymore because they're in the base, there is no phasing, there is nothing to worry about that going forward. We just -- I put it in the bridge now, even it was only GBP 10 million because it was such a topic before. But that's going to be a history now very soon. And then, look, on your GLP-1 question, we don't think we have a direct impact on -- from GLP-1 from consumers potentially changing behaviors. I mean, ultimately, we believe it's a good thing if people want to take care of their health and want to live healthier. So I think that should be overall benefit us, in my view. But I don't think there's any direct impact, and it's also way too early to tell what it could do. But I don't see any direct consequences on our business at this point.
Operator: There are no more questions at this time.
Tobias Hestler: All right. Thank you. So...
Sonya Ghobrial: I think we just finish, there are just a couple of quick comments.
Tobias Hestler: Yes. That's good. So look, thanks, everyone, for your time and your interest in Haleon. And as you've seen, we had a good quarter. I look forward to updating you on our progress next year together with Brian. And if you have any questions, please do reach out to our IR team. And also worth mentioning, we'll be hosting our first Haleon Highlights Mini Deep Dive that will be on Oral Health on the 7th of December in London, and we'll also webcast that. So thank you, and bye-bye for now.
Sonya Ghobrial: Thanks very much.
Tobias Hestler: Thank you.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call.